Alex Hunchak - Director, Corporate Development and IR:
Rod Antal - Executive Chairman:
Michael Sparks - CFO:
Bill MacNevin - EVP, Operations and Sustainability:
Cosmos Chiu - CIBC:
Operator: Hello everyone and welcome to SSR Mining's First Quarter 2025 Conference Call. Please be advised that this call is being recorded. [Operator Instructions] At this time, for opening remarks and introductions, I would like to turn the call over to Alex Hunchak from SSR Mining. Please go ahead.
Alex Hunchak: Thank you operator and hello everyone. Thank you for joining today's conference call to discuss SSR Mining's first quarter financial results. Our consolidated financial statements have been presented in accordance with U.S. GAAP. These financial statements have been filed on EDGAR and SEDAR and they are also available on our website. There is an online webcast accompanying this call and you will find the information to access the webcast in this afternoon's news release and on our corporate website. Please note that all figures discussed during the call are in U.S. dollars unless otherwise indicated. Today's discussion will include forward-looking statements, so please read the disclosures in the relevant documents. Additionally, we will refer to non-GAAP financial measures during our discussion and in the accompanying slides. Please see our press release for information about the comparable GAAP measures. Rod Antal, Executive Chairman, will be joined by Michael Spark, Chief Financial Officer, and Bill MacNevin, EVP Operations and Sustainability on today's call. I'll now turn the line over to Rod.
Rod Antal: Great, thanks Alex and good afternoon to you all. The first quarter results marked a strong start to the year for SSR. All of our operations performed well against our plans, which drove the solid financial results, including nearly $40 million in free cash flow generation. The first quarter also included a month of production from Cripple Creek and Victor as we closed the transaction and formally welcomed the CC and V team into SSR at the end of February. It is pleasing to note that our efforts and planning for this transaction and transition have gone very well. The integration has been extremely smooth so far and while there is still more work to be done, so far we are encouraged and confident we have a core asset to the portfolio. Following the CC and V transaction close, we issued our full year 2025 operating guidance showing a year-over-year increase in production. The guidance also outlined our plans for meaningful investment at Hod Maden as we progressed this terrific asset towards a construction decision. We end 2025 focused on a strong start to the year through operational delivery, which we achieved, and we will continue to build from this over the remainder of 2025. In addition, we have a number of important priorities and catalysts on the horizon over the next 12 months. These include the delivery of a technical report and life of mine plan for Cripple Creek and Victor, the advancement of Hod Maden towards a construction decision. The continued progress on an updated and extended life of mine for Puna towards the end of the decade through the potential layback, hatching shares and evaluation of the longer-term potential at Cortaderas. The advancement of the Buffalo Valley deposit at Marigold, which now hosts more than 500,000 ounces in its maiden reserve, and of course, our top priority is continuing to advance Copler to a restart. This is a package of work that we are actively engaging and progressing with regulators and various government departments. This includes the approval of the east storage facility design as well as closure and remediation plans for the heap leach pad. We anticipate that once these plans are agreed, we will then seek appropriate permits to restart the operation. Good progress is being made and while we remain confident of a restart, I am unable to provide any more detail of when and if these permits will be received. All of these efforts are focused on one key goal, delivering additional value for our shareholders, and I look forward to providing further updates on these initiatives throughout the year. So now I'm going to turn the call over to Michael on to the financial results, which are on Slide 4.
Michael Sparks: Thank you, Rod, and good afternoon, everyone. The first quarter 2025 was well aligned to our expectations with 104,000 gold equivalent ounces produced at all sustaining costs of $1,972 per ounce or $1,749 per ounce excluding costs incurred at Copler during the quarter. These results drove operating cash flow of $85 million and free cash flow of $39 million during the quarter. Following the $100 million cash payment made upon the close of the CC&V acquisition, we ended the quarter with $320 million in cash on hand. We also spent approximately $12 million advancing Hod Maden in the first quarter as we progressed engineering and initial site development activities. Brownfield exploration and development work continued at Marigold, Seabee, and Puna, and Bill will provide more details on these initiatives in a few minutes. Now moving on to our financial results on Slide 5. We recorded an attributable net income of $0.28 per diluted share in the first quarter and adjusted net income of $0.29 per diluted share. Both figures include approximately $36 million in care and maintenance costs at Copler during the quarter as these costs are not adjusted for under SEC rules. As previously noted, first quarter free cash flow of $39 million was a strong result to start 2025. This strong free cash flow generation maintains our total liquidity position of over $800 million. With continued free cash flow generation forecasted through 2025, we remain in a very strong position financially and are well positioned to manage all capital requirements across the business. We have plenty of work in front of us, but we are proud of the strong start to the year and look forward to building on this momentum in the coming months. Now if you turn to Slide 7, I'll hand over to Bill.
Bill MacNevin: Thanks, Michael. It was a great start to the year and I want to walk through some of the successes at each of our operations. First though, I will start with a brief refresh on our 2025 guidance as shown on this slide. We expect to produce between 410 and 480,000 gold equivalent ounces this year at an ASIC of $2,090 to $2,150 per ounce or $1,890 to $1,950 per ounce when excluding care and maintenance costs at Copler. This production forecast is a 10% increase over 2024 on a mid-board basis and includes 10 months of production from CC&V. Our guidance also includes an initial capital spend forecast of $60 million to $100 million for Hod Maden as we advance the project toward a construction decision. Now let's move on to Slide 8 for operational updates, starting with Marigold. Marigold produced 39,000 ounces in the first quarter at an ASIC of $1,765 per ounce, a solid start to the year with grades to trend upwards towards the end of the second quarter, delivering strongest production in Q3 and driving a 55% to 60% H2 weighted production profile, sustaining capital trended below expectations in Q1 with this spend now expected in the second quarter. We're continuing to focus our exploration and growth efforts on oxide mineral reserve additions at Buffalo Valley and New Millennium. We look forward to providing further updates on these initiatives as they progress. Now on to CC&V on Slide 9. I want to start by acknowledging the hard work from our teams that helped enable a very successful start to the integration process for CC&V. It's a pleasure to bring a team of this caliber into our portfolio and we are continuing to integrate the asset into our portfolio as we plan for the future. Attributable first production from CC&V covers the month of March following the transactions close. Production in March is 11,000.3 kilowatts at an ASIC of $1,774, aligned with our expectations. Inclusive of the January and February production, CC&V produced 39.3 thousand ounces of gold in Q1. As a reminder, Newmont reported CC&V mineral reserves of 2.4 million ounces as of the end of 2024 in their year-end results. This is an 85% year-on-year increase. This expanded reserve demonstrates the potential upside of what we believe will be a long-lived and significant contributor to our portfolio for many years to come. To that end, we're advancing technical work to inform an updated life of mine plan and accompanying technical report for CC&V. With a large existing reserve setting, the stage for a long mine life at CC&V. These initiatives will help further define and showcase some of the upside we identified during the due diligence process. Now on to Seabee. Seabee had an excellent start to the year, producing 26,000 ounces at an ASIC of $1,374 per ounce, as a result of continued positive grade reconciliation in Santoy 9 ore body. Gold grades averaged nine grams per tonne in Q1, we expect this to be normalized towards reserve grades for the remainder of the year and have left full year guidance assumptions unchanged as a result. The recent grade out performance has certainly been welcome, but should not diminish the hard work our teams have put in to drive continuous improvement at the asset, as we seek to deliver improved underground productivity and maintenance practices going forward. With respect to growth and exploration, we're continuing to advance drilling campaigns at both Santoy and Porky Targets, as we evaluate potential opportunities to extend the mine life at Seabee. This work has been productive so far, and we look forward to providing further updates with our year-end reserves and resources. Now on to Puna, Slide 11. Puna produced 2.5 million ounces of silver in the first quarter, an ASIC of $13.16 per ounce, an excellent result to start the year. Our current focus at Puna is on mine life extension opportunities, particularly on laybacks at Chinchillas to support near-life mine extension, deeper into the decade as we advance engineering work on the Cortaderas target. Puna has been an exceptional contributor to our portfolio, and we're keen to see its continued production and growth for many years to come. On Slide 12, Türkiye. At Hod Maden, we spent approximately $12 million on initial site establishment efforts and technical work in the quarter, while infill drilling also continues at site with the aim of de-risking the first four years of the mine. Simultaneously, we continue to progress efforts on financing options for Hod Maden as we approach our construction decision. As Rod mentioned, we have continued to advance discussions with regulators and various government departments around the potential restart of operations at Copler. In the meantime, care and maintenance costs have remained aligned with guidance, and we spent approximately $5 million in the first quarter on remediation and reclamation activities. Overall, a lot of positive efforts and progress in Türkiye to start the year. Now, I will turn back to Rod for closing remarks.
Rod Antal: Thanks, Bill. Thanks, Michael. We ended '25 with a focus on operational delivery as we continue to rebuild our track record of being a reliable producer and adding shareholder value through various initiatives. As you have heard, we are pleased with our results out of the gate in quarter one, and we'll build on this momentum over the course of the year. We're thrilled that we have closed and integrated CC&V into SSR with a steady production and cash flows expected to contribute meaningfully to our business for many years to come. Overall, our business is in excellent shape, and we are focused on delivering on a number of operational improvements and growth initiatives during the year. We believe the company has significant upside and look forward to progressing the various drivers to realize this potential during 2025. So, with that, I'm going to turn the call over to the operator for any questions you may have. Thank you.
Operator: Thank you, Mr. Antal. We will now begin the question and answer session. [Operator Instructions] The first question comes from Cosmos Chiu with CIBC. Please go ahead.
Cosmos Chiu : Hi. Thanks, Rod and team. Maybe my first question is on Cripple Creek and Victor here. Congrats on closing the deal. I know we kind of touched on it, but I'm just wondering, you know, what's the next steps in terms of what you can show us, what you can do at Cripple Creek and Victor? I know you're going to spend the next 12 months in terms of a new life of mine plan, but as you mentioned, it's increased more than 80% in terms of reserves to 2.4 million ounces. I'm just wondering how, you know, between now and the next 12 months, how we can use some of this information that's been given to us in terms of how we can optimize the model that we've built into your valuation?
Rod Antal: Yes, good question, Cosmos. I'm going to pass over to Bill for some comments, and then if there's anything else, I'll wrap it up.
Bill MacNevin: Yes. One of the key things that is part of our first piece of work, we obviously are collecting a lot more information, and key to that, we're compiling and we're going to build out that new life of mine report, and most importantly, a technical report. That technical report will have our best understanding where we currently stand. At the same time, we'll be continuing a lot more work looking at what we can do with the business in future, but in terms of handing something across, that technical report later this year will be our best and most immediate update.
Cosmos Chiu: And what's the timing of that technical report, if there's a timing at this point in time?
Bill MacNevin: We're working to get that out in Q3. So that's when we'll be pulling that together. Everyone's feverishly working away at the moment, and obviously engaging with the site team and gathering more information face-to-face, that's helping immensely. So we look forward to getting that out to everyone.
Rod Antal: Yes, I think because the truth is that we're well aware that when we acquired the asset, and have acquired the asset now, of course, that there's a bit of a daft of information in the market around CC&V, given Newmont hadn't published a technical report on the asset for many, many years. So that's really been the priority for us to reacquaint the market with the asset, but on the back of publishing a new tech report. So it feels like a long time, but it's not. And I think it's important we take the steps Bill's outlined to really demonstrate what we see is a deep value for the asset moving forward. And as you rightly point out, I think the new reserve basis that Newmont published just before their transaction closed should drive a level of excitement for its potential. And then I think beyond that, that's our job is to keep on describing what other value we think we might be able to eke out of the asset moving forward. So early days, things have gone really well, as we mentioned, and nothing that we've seen so far has really disappointed us.
Cosmos Chiu: Yes, I guess the genesis of my question is that I've seen other companies, some of your competitors that have also acquired assets from Newmont. Broadly speaking, they talk about different areas where they can optimize. I'm just wondering if, broadly speaking, I know the actual numbers won't come out until later on in hopefully Q3, as you mentioned, but broadly speaking, are there areas that we can focus on, that you can share with us, or maybe not at this point in time.
Rod Antal: I think right now, of course, I think it's just that we'll leave it as is, as an open question. Mainly because I think what you've described is, in other cases, where assets are a little bit better understood. So we're obviously, in that regard, a little bit further behind because of the other publications around Triple Creek in the market. So we're going to catch that up. So I think for us to be able to take it over, work through all the technical detail for our team and our CPs to be able to sign off on that in the timeframe that Bill's talking about is pretty fast. So that's really a priority for us.
Cosmos Chiu: Yes, I perfectly understand. Maybe switching gears to Türkiye at Hod Maden. As you mentioned, you spent $12.2 million in CapEx, development CapEx in Q1. Your target is $60 million to $100 million. Could you maybe talk about the velocity of the increase that we're expecting? I guess number one, $60 million to $100 million, that's a fairly large range. That's number one. And if I look at it, if I were to annualize $12.2 million, I get to the lower end, but I don't think I should do that. So maybe if you can talk about how we should look at the potential velocity of increase.
Rod Antal: Yes, look, I think the progress that we're making at site at the moment is we're actually tendering out some of the early works around the infrastructure. So that is progressing well. And once those contracts are let, so these are civil works and tunnel access, et cetera, into site, the spend will escalate accordingly beyond the sort of $12 million in the quarter, which has been primarily owner's costs and engineering fees. So that'll start to ramp up, particularly from Q3 onwards, as we start to execute that contract. If we let them now, there's still that sort of lag by the time folks get mobilized and contractors get mobilized, but that'll start to really uplift itself in Q3, Q4. And I think we did leave that range in there, mainly around the timing of that ramp up. But as we move through the year and we get a bit more fidelity around it, if we need to and tighten that up, we will be coming into Q3. So things are progressing quite well there, actually.
Cosmos Chiu: And then maybe a follow up, as you mentioned, with the work that you're doing, you're trying to get more confidence, at least around the first four years of production. And as you talked about the technical report for Cripple Creek and Victor, for Hod Maden, there is a technical report as well, dated 2022, I believe. So I guess my question is, number one, the first four years, are you trying to gain more confidence around what was disclosed in that most recent feasibility study? And number two, should we still use that feasibility as a basis in terms of the economics around Hod Maden?
Rod Antal: Yes, the work we're doing, I think we sort of described it after we acquired the asset, was more around ensuring that we had the fidelity in the infield drilling, particularly in those early years, because they're important from an economic return perspective, but also from us being able to describe to the market what the early years of production will be. That's what we spent a lot of time on, shoring up the flow sheets around that work with the drilling that we've got, the engineering and all of the other pieces that go with it. So that's continued. And at the moment, yes, I would suggest using 2022 as still your basis. It's the best basis out there. And as we obviously get closer to making a project decision, we'll get closer to then republishing the tech report with all the outcomes of that work, and also progressing the financing options around the project. The other thing, though, that we did note on the acquisition cause was the inflation that we've been experiencing in Türkiye with the project. As you rightly point out, the last project estimate was 2022. We're now three years beyond and four years by the time we get to this year. And what we suggested and guided folks to do was to compound it at a 10% to 15% inflation rate to the capital number to bring it up to today's dollars. And we haven't seen any relief from that inflationary pressures either, so I think that's still valid.
Cosmos Chiu: Great. Yes, I think we've inflated our numbers as well as suggested. And maybe one last question, as you mentioned, Hod Maden is in Türkiye, Copler is also in Türkiye. Maybe I'm just, I don't know if you can answer this, Rod, but is there any kind of connection in terms of those two, in terms of a potential restart at Copler and how there is any kind of connection to what might be a construction decision at Hod Maden, or are they completely separate?
Rod Antal: No, we purposely kept them separate, because that's the way we would have run the project anyway, to be honest with you. Yeah, this is a Greenfields project, as you know, it's not a Brownfields project, so it's not a natural extension of Copler as we did with the Sulfide project, for instance. So it was actually set up that way and purposely set up that way at any rate. It has its own project team, it has its own infrastructure. There are some linkage points into the anchor team in terms of, you know, HR, finance, community relations and other things. But beyond that, the project sort of considered a Greenfields project of sorts. So we had structured it that way anyway, and as it turns out, when we think about Copler and Hod Maden, we consider them separately. So there's no link to them from a government perspective, there's no link to them in terms of the success of us getting the permits to restart Copler. They're sort of both marching on their own drumbeat with different priorities and different sense of urgency. So that's how we're running it. Of course, as time goes on and, you know, Hod Maden goes into construction and goes through its normal construction phases, there'll be more of an integration into the current infrastructure we have around the Anagold team for taking it over, because ultimately, you know, we'll leverage off that overhead we've already got set up in-country. But at this stage, there's a separate project team set up.
Cosmos Chiu: Great. Thanks again, Rod, Bill, Michael and Alex. Those are the questions I have. Thank you.
Operator: This concludes the question and answer session and today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.